Operator: Good morning ladies and gentlemen, and welcome to the Gran Tierra Energy’s Results Conference Call for the three and nine months ended September 30, 2009. My name is [Shenal] and I’ll be your coordinator for today. At this time, all participants are in listen-only mode. Following the presentation, we will conduct the question-and-answer session for securities, analysts and institutions. (Operator Instructions). I would like to remind everyone that this conference call is being webcast and recorded Friday November 06, 2009, at 10 o'clock AM Eastern stranded Time. Please be advised that in addition to historical information, certain comments made during this conference call, particularly those participating future financial performance, business prospects and overall operating strategies constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements may be identified by words such as anticipate, believe, estimate, expect, intent, predict and hope or similar expressions. Such statements which include estimate or forward-looking prediction and financial information or results are based on management’s current expectations and are subject to a number of factors and uncertainties which could cause actual results to differ materially from those described in the forward-looking statements. Listeners are urged to carefully review and consider the various disclosures made by Gran Tierra in its reports filed with Securities and Exchange Commission including those risks set forth in Gran Tierra Energy’s quarterly report on Form 10-Q for the quarter ended September 30, 2009, filed with Securities and Exchange Commission on November 5, 2009. If one or more of those risks or uncertainties materialized or the underlining assumptions prove incorrect, Gran Tierra's actual results may vary materially from those expected or projected. Listeners are urged not to place undue reliance on forward-looking statements made in today’s conference call. Gran Tierra assumes no obligation to update these forward-looking statements other than as may be required by applicable law or regulations. Today’s conference call also includes the non-GAAP measured funds flow from operations. The press release disseminated by Gran Tierra Energy earlier today includes a reconciliation of this non-GAAP item with the company’s GAAP net income loss as well as information about why management believes this measure is useful in evaluating the company’s performance. All dollar amounts mentioned in today’s conference call are in the US dollars unless otherwise stated. Finally, this earnings call is the property of Gran Tierra Energy Incorporated. Any copying or rebroadcasting of this call is expressly forbidden without the written consent of Gran Tierra Energy. I will now turn the call over to Dana Coffield, President and Chief Executive Officer of Gran Tierra. Mr. Coffield, please go ahead.
Dana Coffield: Thank you, [Shenal]. Good morning and thank you for joining us for Gran Tierra Energy’s third quarter 2009 results conference call. With me today is Martin Eden our Chief Financial Officer, and Shane O’Leary Gran Tierra Energy’s Chief Operating Officer. Earlier this morning, we disseminated a press release that included detailed financial information about the quarter. In addition, Gran Tierra Energy’s 2009 third quarter report on Form 10-Q for the three and nine months ended September 30th, 2009 has been filed on EDGAR and is available on our website at www.grantierra.com. I’m going to begin today by talking about some of the key developments for the quarter and then provide a brief overview of our plans going forward. Martin will then take a few minutes to discuss key aspects of this quarter’s financial results followed by a review of Gran Tierra Energy’s operations with Shane O’Leary. Finally, I will return with a few closing remarks. Gran Tierra Energy attained another record quarterly production level in the third quarter averaging 12,945 barrels of oil per day net after royalty. This was in spite of a 32 day disruption in the Ecopetrol operated Trans-Andean pipeline. That’s how it produced net after royalty production to about a third of the daily total for the quarter. Our Colombia production averaged 12,035 barrels of oil per day and our Argentina production averaged 910 barrels of oil per day for the quarter. Our revenue and interest grew to $75.4 million for the third quarter. Earnings were negatively impacted by foreign exchange losses of $18.9 million of which $20.3 million is unrealized non-cash foreign exchange loss offset by $1.4 million foreign exchange gain leading for a net loss of $2.8 million. That said, our ability to generate cash remained strong, but fund flow from operations for the third quarter of $53.1 million. Our balance sheet also remains very strong with cash and cash equivalents of $151.6 million at September 30, 2009 and we remained debt free. In the third quarter, we were largely focused on attaining a plateau crossing level of 19,000 barrels of oil per day gross in the Costayaco field. This was attained in August ahead of schedule. In addition, we continue to prepare for the largest exploration drilling program in our history, which will begin later this fourth quarter and then continue through 2010. While we continue to grow production in Colombia and maintained production in Argentina. We also took a substantial first step in growing our business by establishing a presence Brazilian market, opening and legally registering an office in Rio de Janeiro and appointing Julio Moreira as President of the Brazil business unit. Mr. Moreira has more than 25 years of experience working for international companies in Brazil in senior business development positions. Most recently he was Managing Director for IBV Petroleo Ltda. And Brazil Country Manager for EnCana Corporation, where he was instrumental in capturing the exploration assets which were later sold after exploration success, for combined value of more than $500 million. Closer to home, we also took steps to strengthen our team in Calgary, as just prior to the quarter end we appointed Duncan Nightingale, as Vice President of exploration. Duncan has nearly 30 years of international exploration management experience and based in Calgary will lead our exploration operations, including the exploration drilling program commencing this quarter and continuing through 2010. Looking ahead to the balance of this year, we intend to finish drilling Costayaco-10, and drill a second development well in the Juanambu field. We also intent to begin to drilling the first exploration well of a 14 exploration well program in Colombia and Peru that will continue through 2010. Based on a current outlook, our 2009 capital spending program is expected to total approximately $95 million with $87 million in Colombia, $5 million in Argentina and $2 million in Peru. We will finalize our 2010 work programming budget in early December, and we’ll provide those details once it is approved by our Board of Directors. We have now established what I describe as a cash flow generating machine in the Costayaco field which should fund our future growth efforts on a vast land base encompassing 6.2 million acres in 24 blocks in three countries in addition to business development initiatives in Brazil. This growth agenda is further supported by a strong cash balance and an unused $200 million credit facility and most importantly a team of talented staff with experience and a track record of success throughout Latin America. And that concludes my comments for the moment and will now turn over the call Martin Eden to discuss the financial results. Martin?
Martin Eden: As most of you have had an opportunity to review our press release this morning, I would simply like to highlight a few important items. Revenue and interest income increased 87% to $75.4 million for the third quarter of 2009, compared with $40.3 for the same period last year. The improvement was the result of a 209% increase in crude oil production, partially offset by lower oil prices. The increase in production for the third quarter was primarily due to increased production from the continued development of the Costayaco field in the Chaza Block in Colombia and the addition of production from Solana Resources' following the acquisition on November 14, 2008. The average realized crude oil price for the quarter decreased to $63.12 per barrels from $103.88 per barrel from the same period last year, reflecting low West Texas Intermediate pricing. Operating expenses for the third quarter of 2009 were $9.1 million, 102% increase from the same period in 2008. The increase in operating expenses is due to expanded operations and increased production levels in Colombia. However, for the three months ended September 30, 2009, operating expenses on a BOE basis was $7.64 per BOE, a 35% decline from the same period in 2008 due to the impact of the high production wells and lower operating expenses at Costayaco. We continue to realize economies of scale within our general and administrative expenses. On a per barrel basis, general and administrative cost in the third quarter of 2009 decreased by 43% to $5.94 per barrel compared with $10.46 per barrel in the third quarter of 2008. Depletion, depreciation and accretion expense for the current quarter increased to $35.2 million compared with $6.8 million for the same quarter in 2008. Increased production levels, as well as amortization expense of $26.9 million for the quarter related to the fair value of property, plant and equipment recorded on the acquisition of Solana accounted for the increases. On a BOE basis, DD&A in the third quarter was $29.59 per barrel compared with $17.51 per barrel for the same period in 2008. This 69% increase was primarily due to the significant additions to the proved depletable cost base resulting from the Solana acquisition, partially offset by higher proved reserves in Colombia. Our foreign exchange loss of $18.9 million for the third quarter of 2009, primarily represents unrealized non-cash foreign exchange losses of $20.3 million, mainly resulting from the translation of the deferred tax liability recorded on the purchase of Solana. This deferred tax liability, a monetary liability, is denominated in the local currency of Colombia and as a result, foreign exchange gains and losses have been calculated on the conversion to the US dollar functional currency. The strengthening in the Colombian Peso against the US dollar results in foreign exchange losses, estimates that $70,000 for each one peso decrease in exchange rate of Colombian Pesos to one US dollar. As a result of increased DD&A expenses and the unrealized non-cash foreign exchange loss, Gran Tierra Energy recorded a net loss of $2.8 million for the quarter in 2009 compared with net income of $23.0 million for the same period in 2008. Funds flow from operations in the quarter was $53.1 million. Funds flow from operations is a non-GAAP measure based on GAAP income or loss, adjusted for depletion, depreciation and accretion, deferred taxes, stock-based compensation, unrealized gain or loss on financial instruments and unrealized foreign exchange gains or losses. A reconciliation to net income is included in our third quarter earnings press release. As a result of achieving gross field production of $5 million cumulative of Costayaco. Our higher royalty rate is now payable. This royalty is calculated on 30% of the field production revenues over inflation adjusted trigger point. That trigger point from Gran Tierra is $30.22 for 2009. Production revenue for this calculation is based on production volumes net of other government royalty volumes. Average royalties at Costayaco, the gross production of 19,000 barrels per day; and $70 WTI per barrel or approximately $24.8% including approximately 17.1% of this additional royalty. In summary, Gran Tierra Energy remains financially strong and fully funded, reporting cash and cash equivalents of a $151.6 million at September 30, 2009, as compared with a $176.8 million at December 31, 2008. Working capital increased to a $188.8 million at September 30, 2009, compared with a $132.8 million at December 31, 2008. The company remains debt free with an undrawn credit facility in place. That concludes my comments. I would now like to turn the call over to Shane for an update on Gran Tierra’s Energy operations and capital plans.
Shane O’Leary: We continue to make solid progress on Gran Tierra Energy’s 2009 capital program for exploration and production development operations in Colombia, Peru and Argentina, although, some activities was differed until 2010. In the third quarter, we were largely focused on further developing the Costayaco field in addition to preparations for our pending 2010 exploration drilling program. Looking at the Costayaco field, early in the quarter we announced the completion of testing at Costayaco-8 well with the Upper T Sandstone of the Villeta formation producing 2,211 barrels of oil per day and Caballos formation producing 2,640 barrels of oil per day. This well was brought on production in late July. In September, we completed logging operation on production testing of Costayaco-9, initial testing produced 926 barrels of oil per day in the Upper T Sandstone and 1,840 barrels of oil per day in the Caballos formation. Testing at Costayaco-9 was completed in early September and the well was tied in and put on production later in month. In between those announcements in August 2009 and after further testing, it was determined that Costayaco-7 would be completed as water injector well to dispose of produced water from the Costayaco field, and to provide pressure support for the Villeta T reservoir. Costayaco-10 was spotted on October 5 and we expect to finish drilling in late November after coring operation in the two main reservoirs are finished. The well is located 2,100 feet southwest Costayaco-9. It is the last development well scheduled in 2009 for the field. In the fourth quarter of 2009, the Dantayaco-1 exploration well; previously named Rio Mocoa, is schedule to be drilled to test an independent prospect west of a Costayaco field. Drilling of a second prospect Moqueta is planed for earlier 2010. Guayuyaco block contains both the Guayuyaco and Juanambu producing oil fields. Development well, Juanambu-2, has been added to the 2009 work program and is scheduled to spud late in the fourth quarter of 2009. No exploitation activities are plan for the Santana block during 2009. For the rest of the Putumayo Basin, we are looking at a combination of site network and exploratory drilling in the coming quarters. Exploration well is plan for the Piedemonte Sur Block in 2010. 120 and 125 kilometer 3D seismic programs are planned for the Piedemonte Norte and Rumiyaco Blocks respectively in 2010, followed by drilling of exploration wells in each block. In the Azar Block two seismic programs and 40 kilometers 2D program and 50 square kilometer 3D program have been completed and interpretation is underway. In the Mecaya Block the Mecaya-2 exploration well that was plan for the third quarter of 2009 has been deferred to 2010. We have also completed 110 square kilometer 3D seismic program in the Garibay Block, to further define its exploration potential, we are in the process of relinquishing the San Pablo Block. In Magdalena Basin, a long-term production test of the Popa-2 gas condensate well in the real Magdalena Block is on going, results of this work are currently under review. In the Catatumbo Basin of Northern Colombia, as a result of new mapping completed in the second quarter, the two exploration wells planned for Area B of the Catguas Block have been deferred until 2010. The drilling program will target two more perspective structures that have now been identified. In Peru, the environmental impact assessments for Blocks 122 and 128 have been submitted to the Peruvian government for review and approval. We have also completed our consultations with communities in the region. These activities are in preparation for 500 kilometer 2D seismic survey expected to start in the first quarter of 2010. Over 16 principal leads amongst the 24 leads identified on the blocks. Stratigraphic test drilling on up to four prospects is expected to take place in 2010. In addition, a pre-feasibility engineering field development study has been completed. In Argentina, the work over program for 2009 has been largely completed. We have recently initiated testing of the VM-1001 gas well in the Valle Marado Block, a gas well that has been suspended since the early 1990’s. Production in Argentina is expected to be maintained at approximately 1000 barrels of oil per day, net after royalty in 2009. That concludes my comments. I would like to turn the call back over to Dana.
Dana Coffield: Thank you Shane. Now, in the third quarter Gran Tierra Energy successfully past the key production milestone, reaching plateau production of 19,000 barrels a day gross from the Costayaco field. Combined with our other producing assets in Colombia and Argentina, Gran Tierra Energy is now in a position to maintain 14,000 to 16,000 barrels a day net after royalty production barring interruptions to infrastructure outside of our control. That should fund our continuing exploration efforts in business development initiatives in the coming years. We have now positioned ourselves to generate the cash necessary to fund future growth, which will be driven by our exploration drilling program that is about to be initiated. Gran Tierra Energy has a track record of value creation through the drill business as evidenced by steadily growing production year-over-year for the last four and a half years of our history. With our sizable land position and pending exploration drilling program scheduled for the year ahead expect to continue creating value for our stakeholders. That concludes our prepared remarks for this morning, we would now be pleased to answer any questions you may have. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Neal Dingmann of Wunderlich Securities. Please proceed.
Neal Dingmann - Wunderlich Securities: Dana, I was wondering on the Dantayaco-1. What do you expect, if that turns out to be quite good this quarter, will that prepare you for more around that region or what do you hope to see from that well.
Dana Coffield: The prospects in the same geologic trend as I said Costayaco field just to the east of the prospect. So success there will prove the continuation of this productive trend as we go further west and a little bit up dip into the [full belt] in the mountains. So, success there will certainly increase activity and increase the chance of success of the new lands we have which lie even west of the Dantayaco prospect.
Neal Dingmann - Wunderlich Securities: So will that help then obviously, that’s what you said your 2010 program will better be defined in December, I guess result of this will some what dictate that in some regards.
Shane O’Leary: Not really, no. We have defined prospects that we want to drill irrespective of the results of this well. The success in this well would change the risking of some of these other prospects and it increase our confidence in looking for an additional prospects for drilling. But success or failure will not impact the drilling work we willundertake next year.
Neal Dingmann - Wunderlich Securities: How long it takes until we see TD on that one and TD on the Juanambu-2?
Dana Coffield: The Dantayaco will be a relatively specking shorter well perhaps, two weeks of drilling. So, if we get to spud early December, we hope that results before year end
Neal Dingmann - Wunderlich Securities: And what about the Juanambu?
Dana Coffield: Juanambu, that will be more similar to the previous Juanambu and Costayaco wells. That will be a 30 day well.
Neal Dingmann - Wunderlich Securities: And then lastly, and then I will get back into the queue. Just one of the two exploration wells the Mecaya-2 and the reentry that you are going to do on the Catguas Block. Why did you defer those two until 2010, is there something you saw there what was the rational behind them?
Shane O’Leary: I will answer the second part first in the Catguas Block. Following the merger/acquisition with Solana, we undertook a complete evaluation of the Catguas Block remapping exercise. We identified prospect that we prefer to drill versus one that had already been permitted. So it required a change in the schedule because of the new permitting etcetera. In Mecaya, we weren’t able to get the permitting in place in a timely passion. It is difficult of the country. So they got deferred because of the permitting. So a similar reason to Catguas.
Operator: Your next question comes from Christina Lopez of Macquarie Securities. Please go ahead
Cristina Lopez - Macquarie Securities: Just a couple of quick questions on the exploration program. I may have misinterpreted this but Shane, you're just speaking about the Piedemonte Norte and the Rumiyaco Block with just seismic for next right now, it looks like you are supposed to have exploration wells in during the fourth quarter. Is that still the plan or will those be delayed into 2011.
Shane O’Leary: We're still planning on one well on each.
Cristina Lopez - Macquarie Securities: This exploration program as 14 exploration wells between Q4 and the end of 2010 is unchanged
Shane O’Leary: At this time that’s correct.
Cristina Lopez - Macquarie Securities: Then with respect to cash on hand, obviously bit over capitalize at this point. Are you are still look at acquisitions in other areas other than were you've set up the Brazilian office?
Shane O’Leary: No. We are, in this normal course of business, continue to look at acquisitions, asset or corporate or other. [It can’t be] approved in Brazil, but not really looking at other parts of world at this time.
Cristina Lopez - Macquarie Securities: For Brazil, can you speak to the opportunities in Brazil right now and how competitive it is and what the next bid round look like for you guys?
Dana Coffield: Well we continue to believe that potential in Brazil is extremely good for the company of our size, particularly in the shallow offshore where, from the data we have seen there have been multiple discovery assorted in 100 million barrel range which of course would be very material for us. We like the competitor profile in Brazil because everybody is focused on deeper water and pre-salt type of place and that’s where all the money and focus is going. We think we can pick up some highly perspective acreage in the next bid round and in addition to that we're also looking at farm-ins and acquisitions and another ways to establish an asset-base in Brazil.
Operator: Your next question comes from Jamie Somerville with Genuity Capital Markets. Please go ahead.
Jamie Somerville - Genuity Capital Markets: Let me just quickly follow-up on the Cristina’s question there. Do you actually know what’s in the next Brazilian bid round yet or have any indications thereof? Since you should know roughly what’s in the Colombian bid rounds of 2010, if you have a preference between those two bid rounds.
Martin Eden: We don’t have our preference between the two bid rounds. We are going to participate in both. The Brazil bid round is less well defined at this point. We’ve areas that we like but it’s not clear what areas will be in the [A&P] bid round yet.
Shane O’Leary: No. That’s correct. We have a very good understanding of where we would like to be. We have to wait until we see what areas are offered and then evaluate the packages that are usually made available as part of the bid round and then take it from there. So we are in a position to react very quickly, once we do see what’s on offer.
Jamie Somerville - Genuity Capital Markets: I guess, if you are going to release 2010 budget soon enough, but can you give any guidance at all or obviously assuming you’ll be spending more next year than you did this year?
Martin Eden: I can't really give you specific guidance but the intent is to fund the program out of cash flow, preserve our cash balance. All I can just say is order of magnitude similar to what it was this year but until we have a definitive budget, I’d rather not just put out a number.
Jamie Somerville - Genuity Capital Markets: One thing intriguing me here is probably not material, but the testing of the gas well in Argentina. Is that a commitment or is there any reason why I mean that wells has been there for while, why are you doing that now?
Dana Coffield: Jamie, I am glad you noticed that. Yes, its potentially material. I don’t know those of you who follow Argentina very closely. But the gas market is in Argentina are improving; people realizing approximately $5 Mcf these days. We do have gas potential on our lands in Argentina. With this improving gas market in Argentina, we’re starting to relook at our gas potential of our lands.
Operator: Your next question comes from Melanie Love of Paradigm Capital. Go ahead
Melanie Love - Paradigm Capital: Quick question related to Dantayaco well. Of course everyone wondering if you confirm up the timing for us other than just this quarter as we see the beginning of November, and also you are going to retender for the rigs. How much of the drilling cost changed year-over-year?
Dana Coffield: Yeah. It’s November 6, we’re limiting ourselves by default. The attempt is to in terms of timing. The attempt is spud the well early December and have it done by before year end. The tender process is just now being finalized, for that and two other; the next two expression prospects. And I have to say, we’ve seen a rig cost come down say from a year ago perhaps 10% as may be as an order magnitude to. We have seen cost come down say from a year ago.
Melanie Love - Paradigm Capital: And then also from the Juanambu development well, what sort of flow rates would we be expecting from that?
Dana Coffield: Well, Juanambu-1 does about a 1,000 barrels a day. Maybe the [IP] would a little bit higher than that. But that’s the kind of rates you can assume.
Melanie Love - Paradigm Capital: So, it should be similar to the first.
Dana Coffield: Yeah.
Operator: (Operator Instructions) Your next question comes from Alexander Klein of Blackmont Capital please go ahead.
Alexander Klein - Blackmont Capital: Just couple of questions here wanted to follow-up on Jamie’s question with regard to Brazil. Did I understand you correctly by saying you are interested in both the Colombian and Brazilian bid rounds.
Dana Coffield: Yes, that’s correct
Alexander Klein - Blackmont Capital: And then with regard to brazil, can you give us any sort of clarification on when you might transact in some way, are you looking to do this in 2010 or it is going to be longer. And I know its difficult to answer that question because you don’t know what's going on, but is that your intent to transact in some way next year.
Dana Coffield: Yes, that’s our intent. In 2010 have something done. This [A&P] rounds specifically there is talk of it being initiative in April, whether that happens is yet to be confirmed. But in general our intent is to try to get established with the property in 2010.
Alexander Klein - Blackmont Capital: And then just going back Colombian Costayaco, are you seeing any water production at all at the wells of Costayaco.
Martin Eden: Yes. We have 1% to 2% water cut in one of the wells, and then there is a well C-5, its way down on the flank that's in a transition zone and it produces water, sound one of our better producers, produces about 500 barrels a day, but it’s producing water just because of its location.
Alexander Klein - Blackmont Capital: Then just further to that are you still expecting plateau production at Costayaco to extend over about a three year period?
Dana Coffield: Subject to reservoir well performance but that order of magnitude.
Operator: Your next question comes from the line of Guy Gordon from Byron Capital Markets. Please go ahead.
Guy Gordon - Byron Capital Markets: I just wonder, if you could put some color around the pipeline system in from Chaza and Costayaco and getting to export markets, this destruction that occurring in August to July this year. Is that going to be fixed or can it be fixed? Are you expecting that sort of thing to happen from time to time?
Dana Coffield: All our crude transports [or sale] 50 kilometers by pipeline to the main pipeline system which is operated by Ecopetrol. There has been transport crude to over the (inaudible) to the west coast. So the short answer is I expect that to continue time-to-time. The security environment in Colombia continues to improve. The military has put additional resources on securing the pipeline, keeping it safe. So I'd expect the incidence over time to continue to decrease, but to say it will never happen again, I think it would be to big an expectation. I think it will decrease over time the number of incidence, the duration of incidence.
Operator: There are no further questions at this time. Please continue.
Dana Coffield: Well, ladies and gentlemen, once again, thank you for joining us today and we look forward to speaking with you next quarter and update you on our progress. Hope everyone has a great weekend.
Operator: Ladies and Gentlemen, that concludes Gran Tierra Energy’s conference call for today. Thank you for participating. Please just disconnect the lines.